Operator: Good morning, and welcome to the Second Quarter 2025 Results Presentation for Hillman Solutions Corp. My name is Towanda, and I will be your conference call operator today. Before we begin, I would like to remind our listeners that today's presentation is being recorded and simultaneously webcast. The company's earnings release presentation and 10-Q were issued this morning. These documents and a replay of today's presentation can be accessed on the Hillman's Investor Relations website at ir.hillmangroup.com. I would now like to turn the call over to Michael Koehler with Hillman.
Michael Koehler: Thank you, Towanda. Good morning, everyone, and thank you for joining us. I'm Michael Koehler, Vice President of Investor Relations and Treasury. Joining me on today's call are Hillman's President and Chief Executive Officer, Jon Michael Adinolfi, or JMA, as we call him; and Hillman's Chief Financial Officer, Rocky Kraft. Before we get into today's call, I would like to remind our audience that certain statements made today may be considered forward- looking and are subject to the safe harbor provisions of applicable securities laws. These forward-looking statements are not guarantees of future performance and are subject to certain risks, uncertainties, assumptions and other factors, many of which are beyond the company's control and may cause actual results to differ materially from those projected in such statements. Some of those factors that could influence our results are contained in our periodic and annual reports filed with the SEC. For more information regarding these risks and uncertainties, please see Slide 2 in our earnings call slide presentation, which is available on our website, ir.hillmangroup.com. In addition, on today's call, we will refer to certain non-GAAP financial measures. Information regarding our use of and reconciliations of these measures to our GAAP results are available in our earnings call slide presentation. JMA will begin today's call by providing some commentary on our strong second quarter results and then give an update on our guidance. Following JMA's comments, Rocky will give a more detailed walk through our financials and guidance before turning the call back over to JMA for some closing comments. Then we will open the call up for your questions. It's now my pleasure to turn the call over to our President and CEO, Jon Michael Adinolfi. JMA?
Jon Michael Adinolfi: Thanks, Michael. Good morning, everyone, and thank you for joining us. We executed well and took great care of our customers during the second quarter of 2025, driving strong results on both the top and bottom line. We are pleased with our results for the first half of the year and are positioned well for continued top and bottom line growth in the second half of the year. Let me take a moment to provide an update on some topics we discussed last quarter. We told you that our business is well positioned to operate in any environment, and we delivered solid results during both quarters this year. We told you that we would cover tariff- related cost increases, and we have. We told you that the resilience of Hillman's business should prove volumes to be better than our guide and they were. We told you that we would optimize the country of origin where we source our products with our dual faucet strategy, and we have. The Hillman team did a fantastic job during the quarter. I am proud of how we work together to navigate this dynamic environment while not losing sight of our long-term goals. Based on our performance so far this year, the excellent job this team has done, we are raising the midpoint of both of our full year 2025 net sales and our full year 2025 adjusted EBITDA guidance. We now expect our full year 2025 net sales to be between $1.535 billion to $1.575 billion, with a midpoint of $1.555 billion. The low end of our net sales guidance represents 4% growth over 2024, and the high end of our guidance represents 7% growth over 2024. As for our bottom line, we now expect our full year 2025 adjusted EBITDA to be between $265 million to $275 million with a midpoint of $270 million. The low end of our 2025 adjusted EBITDA guidance represents 10% growth over 2024 and the high end of our guidance represents 14% growth over last year. Let me spend 1 minute on how we're thinking about 2026 based on what we know today. We expect full year 2026 net sales to grow in the high single to low double digits and adjusted EBITDA to grow in the low to mid-single digits, both in an environment where we are assuming market volumes are flat. Rollover price in our typical new business wins will drive our top line in 2026. Considering the tariff comp next year, we will remain focused on managing margins, operating efficiently and controlling costs. Rocky will share more details on our guidance and outlook for the remainder of the year in a bit. Hillman has a long track record of performing through all kinds of economic environment since we were founded over 60 years ago. Historically, our consistent growth and solid performance has been driven by our competitive moat, steady demand for our products tied to everyday repair and maintenance projects and great long-term relationships with our customers. Hillman's value-added moat, which consists of over 1,200 sales and service reps in our customer stores, direct-to-store delivery capability, category management and deeply integrated retail partnerships unlike any company in our space. Today, we are successfully managing the current tariff environment while not losing sight of taking great care of our customers, winning new business and consistently striving to make our operations more efficient. We continue to deliver orders on time and in full to our customers, which has been demonstrated by our excellent fill rates for the first half of the year. From a supply chain and operations standpoint, we continue to execute our dual faucet strategy. We've made progress reducing our exposure to suppliers based in China, where we are confident that we can end 2025 with the ability to source approximately 20% of our products from China. This compares to 2018 when we sourced nearly 50% of our products from China. The dual faucet strategy is the concept of buying product not only from multiple suppliers, which has always been our strategy, but from multiple suppliers in multiple countries. We know tariffs can change the market quickly. We are prepared for this and have built a flexible supply chain that allows us to deliver quality products at the best overall value for our customers. We are confidently navigating the tariff situation and executing our plan to set Hillman up for long-term success with our customers and long-term growth. Now let's turn our results -- to our results for the second quarter. Net sales in the second quarter of 2025 totaled $402.8 million, which increased 6.2% versus the second quarter of last year. Driving our top line growth was a 4-point increase from Intex, which we acquired in 2024, 2 points from new business wins and 2 points from price. These were partially offset by a 2-point headwind from market volumes. For the quarter, adjusted EBITDA increased 10.1% to $75.2 million compared to $68.4 million last year. Adjusted EBITDA margins improved by 70 basis points to 18.7%. Adjusted gross margins for the quarter totaled 48.3%, which were down slightly from 48.7% during the year ago quarter, but improved sequentially from 46.9% for the first quarter of 2025. Driving our sequential margin performance for the quarter was improved margins in RDS and a modest amount of tariff-related price. Our biggest segment, Hardware and Protective Solutions, or HPS, had a great quarter with 8.7% growth versus the comparable period. Adjusted EBITDA increased by 14.7% to $51.5 million. Our results were driven by contributions from Intex acquisition, new business wins and price, offset by just 1% decline in HPS market volume. Net sales in Robotics and Digital Solutions, or RDS, were up 2.3% versus the year ago quarter. This is our second consecutive quarter of growth for RDS, which confirms our MinuteKey 3.5 strategy is working. Adjusted gross margins and adjusted EBITDA margins both improved sequentially, totaling 73.1% and 32%, respectively. As of today, we have over 2,200 MinuteKey 3.5 machines in the field. We remain on track to finalize the rollout of these kiosks to our 2 largest customers by the end of 2026. Now turning to Canada. Net sales in our Canadian business were down 5.6% compared to the prior year quarter. Sales volumes and adjusted EBITDA improved sequentially as we moved from winter into the spring selling season. Market volumes improved, but remained soft and FX headwinds weighed on our Canada's results. For the second half of the year, we expect Canada to return to top line growth. And for the full year, we continue to expect that adjusted EBITDA margins will remain above 10% in Canada. Overall, Hillman is in a great position with our customers, and we'll continue to successfully execute in this environment. With that, let me turn it over to Rocky to talk financials and guidance. Rocky?
Robert O. Kraft: Thanks, JMA. Let me dive right into our results, and then I'll get to our guidance. Net sales in the second quarter of 2025 totaled $402.8 million, an increase of 6.2% versus the prior year quarter. Second quarter adjusted gross margins decreased by 40 basis points to 48.3% versus the prior year quarter, but improved 140 basis points sequentially. The Intex acquisition we made in August of 2024 has gross margins below our fleet. This drove the step down in margins versus last year. Additionally, we saw a modest amount of tariff-related price during the quarter, which helped our margins improve sequentially while entering into our busier spring selling season where we leverage more of our fixed costs. Adjusted SG&A as a percentage of sales decreased to 29.7% during the quarter from 30.7% from the year ago quarter. Adjusted EBITDA in the second quarter totaled $75.2 million, improving 10% versus the year ago quarter. Our adjusted EBITDA to net sales margin during the quarter improved by 70 basis points to 18.7% from a year ago. Let me now turn to cash flows. For the quarter, net cash provided by operating activities was $48.7 million, and we generated $31.2 million of free cash flow even with a $32.5 million cash headwind from tariffs. Turning to leverage and liquidity. We ended the second quarter of 2025 with $674.7 million of total net debt outstanding, which decreased by $29 million from the end of the first quarter. Liquidity available totaled $246.9 million, consisting of $212.7 million of availability on our credit facility and $34.2 million of cash and equivalents. At quarter end, our net debt to trailing 12-month adjusted EBITDA ratio improved to 2.7x versus 2.9x a quarter ago and 2.8x at the end of 2024. We maintain that our long-term adjusted EBITDA to net debt leverage ratio target remains at or below 2.5x. This will give us the flexibility to grow via M&A and use our improved financial strength to play offense. Last week, our Board approved a $100 million share repurchase program. This is the first time Hillman has had an SRP in place since coming public in 2021. We are comfortable with our leverage ratio and feel it prudent to have an active plan in place. We intend to buy stock back to offset dilution resulting from employee stock awards. Doing so will have a minimal impact on our leverage. We will also seek to buy stock back when we believe there is a disconnect between the value of our company and the value of where the stock is trading. We anticipate deploying between $20 million and $25 million annually depending on the market. We believe these repurchases will be accretive to earnings per share, drive shareholder value and will be an attractive place to invest capital. Similar to the SRP, our Board also approved a shelf registration statement. Similar to the SRP, we felt it good public company governance to have a shelf on file. To be clear, we do not intend to use the shelf to raise capital of any kind in the foreseeable future. We are simply putting the mechanism in place now. Now let me turn to our guidance. While Hillman's business is generally resilient because of the demand for our products used for repair and maintenance projects around the home, we are not immune to declining foot traffic at our retail partners and a consumer watching their spending. Our top and bottom line guide contemplate a volume decline, which we believe is a prudent outlook for the year, considering existing home sales are projected to remain flat. On our last call, we told you that our guidance was conservative and our volumes will be better than our guide. So far, that has proven to be the case. Now we have more clarity on how tariffs will impact our business, and there's less uncertainty around our expectations for the year. As such, we have increased the low end of our net sales guidance by $40 million. This raises the midpoint as the top end remains unchanged. Our updated net sales guidance is now between $1.535 billion to $1.575 billion, with a midpoint of $1.555 billion, reflecting 5.6% growth over last year and a $20 million increase from our previous guide. We are also increasing the low end of our adjusted EBITDA guidance by $10 million. This raises the midpoint as the top end remains unchanged. Our updated adjusted EBITDA guidance is now between $265 million and $275 million, with a midpoint of $270 million, reflecting 11.7% growth over last year and a $5 million increase from our previous guide. In addition, we calculate the annualized run rate for tariffs to be approximately $150 million. The team has done a great job working with our customers to get price. We are confident we will end the year around 2.4x leverage, assuming we hit the midpoint of our guidance even after deploying some cash to execute a modest share repurchase. Before I turn it back to JMA, I wanted to thank the Hillman team who has worked extremely hard to deliver such a strong quarter with healthy growth on both the top and bottom line. As we look ahead, we are confident in our ability to carry this momentum forward with disciplined execution and a focus on our strategic priorities. We are well positioned to build on this foundation and expect to see sustained growth throughout the remainder of the year while we focus on growing with our customers and driving shareholder value. JMA, back to you.
Jon Michael Adinolfi: Thanks, Rocky. As Rocky said, the team has done a great job this year. I am confident Hillman is positioned for long-term success and long-term growth. To our 1,200-plus frontline sales and service folks, our operations team, product team and all the support functions across the organization, I am so proud of how the entire Hillman team continues to execute and win. I'd also like to extend my appreciation to our customers, vendors, partners and shareholders for their ongoing trust and support. We're proud of the growth we delivered this quarter and remain confident in our ability to execute and build on the momentum throughout the year and beyond. With that, I'll turn it back to Towanda for the Q&A portion of our call. Towanda, please open the call for questions.
Operator: [Operator Instructions] Our first question comes from the line of Lee Jagoda with CJS Securities.
Lee M. Jagoda: So just 2 questions. One kind of bigger picture and one more numbers related. Just on the bigger picture stuff, in the recent past, you've talked about focusing a little more on the pro channel. And I'd love to understand how your competitive advantages in the retail channel would translate to the pro channel and kind of give you the right to win? And any examples of recent success would be great.
Jon Michael Adinolfi: Lee, thanks. I'll take that one. So from the pro perspective, today, 25% plus of our business is pro related. So to me, especially in areas like fasteners, we have the permission to play. We have the products. We've got brands like Power Pro, for instance, where we just launched a full range of structural products. We've got a full range of products in a number of different areas in fastening. And today, those pros are using our products. We have focused on supporting our customers where they support the pro. As our customers continue to expand and we have other opportunities in channels like LBM that where our customers are serving the pro. We're going to continue to lead in there. So we're very excited about the, I'll say, the opportunity as we go forward. At this point, we've got success in the fact that, that area continues to grow for us. I won't go into great detail on this call, but we'll have some future updates where we'll talk about some of the things we're doing in pro and how we'll continue to lean in. So thanks for the question.
Lee M. Jagoda: Sure. And then Rocky, just one for you on numbers. Now that we have that clarity on the tariff impact, I know last quarter, you were able to give us some guidance in terms of the cadence for EBITDA and how price rolls in versus when costs hit the P&L. Can you give us an update on what the back half cadence should look like?
Robert O. Kraft: Yes, Lee. I mean, as you know, it depends on the product. But given what we have from an inventory perspective, we'll start feeling the cost from tariffs late in the third quarter. That said, every product tends to be different, and there are a lot of moving parts as you think about it. But that means that we'll have a -- we believe we'll have a very strong third quarter because most of the price, if not all, will be in place. We'll begin to feel the tariff cost. And then as we go into the fourth quarter, we should see tariff cost and price both fully in the run rate. The only other thing I would say, as you heard in our prepared remarks, the cash hits us right away. So it was a cash drain in the second quarter. It will be a little bit of a cash negative in the third quarter, but we still feel really good about where we're taking the business and really, really happy with how the team has done working with our customers to, in some cases, move products, in other cases, get price where we need to cover, and we feel like we're in really good shape for the rest of the year.
Operator: Our next question comes from the line of William Carter with Stifel.
William Andrew Carter: A question I have for next year around the guidance. You said rollover pricing and new business wins against a flat market. Does that assume -- is that clarity, does that assume just new business wins you did this year? Or does that assume you go back to steady state next year? And on that note, business wins have kind of cooled this year. Do you have confidence that you're able to fully accelerate and get back to that level of growth next year?
Robert O. Kraft: Well, there are 2 things I would say there. This is Rocky. First off, we still expect that we'll be at or above -- slightly above our 2% new business wins, which we've done for many years in a row. As we look to 2026, yes, we have pretty good clarity around that. If you assume we do our 2% to 3%. And again, to be clear, we're not giving a guide that we think the markets are flat in '26. What we're saying is if you assume the markets are flat, if you think about our implied guide in the back half, it would suggest that volumes are down 9% in the back half. It would assume that, that's down 6% for the full year in 2025. And that gets us to some really interesting levels. That level of being down this year, quite frankly, if you take COVID out, it will be the worst market year we've seen in Hillman since 2008 or 2009. So again, we think we're being prudent because we are putting a lot of price in market. Everybody is putting a lot of price in market. And clearly, there will be some impact on volumes. But I think while not a guide, assuming markets are flat next year, I think it's prudent at this point in time. I mean it's the beginning of August.
William Andrew Carter: Second question, you did say -- correct me if I'm wrong, annualized impact is now $150 million regarding tariffs. I guess as you think about that impact, and we've had a lot of fluidity, things change. I guess we had some certainty at the end of July. Do you have kind of full visibility of that number, all the nuances? I know steel went from $25 to $50, but that's on the components. Do you have full visibility into that? And is there any fluidity or risk in your pricing, i.e., things could change, somebody is saying, "Hey, let's wait 6 weeks, et cetera?" Just I'll stop there.
Robert O. Kraft: Yes. Again, this is Rocky. I mean as you can imagine, the $150 million is a very round number. There's a ton of fluidity in that. And there's a lot of reasons, not only what the administration might do, but there's also fluidity around what volumes do in the back half, and that clearly impacts that number. And so as we think about it, we've covered our net tariff exposure. We're confident that anything that happens going forward, particularly as you start thinking about how it rolls through our inventory, will most likely not impact '25 as much as it will 2026. But I have to tell you, our customers have been great. And we have spent a lot of time making sure that we work with our customers to get the right amount of tariff price. They understand that we're just covering the tariff prices as if it were a tax. We're not trying to maintain our margins and they understand that. And I think that's a positive. So far, everything we've done with our customers has been executed very well. We thank our customers. And as we think about the future, if there is fluidity, to your point, and it changes which it's likely to, we will be changing what our pricing is with our customers, either up or down.
Operator: Our next question comes from the line of Michael Francis with William Blair.
Michael Edward Francis: Nice quarter. I wanted to go back to the back half cadence question that Lee asked. And more pointedly, I think last time you mentioned you're expecting about 300 basis points of gross margin, give back from tariff prices. Is that still accurate? And is there anything you can kind of do to level set us on how we should think about gross margins in 3Q and 4Q?
Robert O. Kraft: Yes. I'd like to not get into specifics around gross margin. What I would tell you is the 300 basis point degradation was in the face of $250 million of tariff price. And so we've said that we believe that number has come down to $150 million. So it's a safe assumption that, that impact has come down relative to how we think about the future. I think as you think about the -- I would go more to kind of the rest of the year. And as we think about our EBITDA margin for the full year, I think you can probably safely assume we'll be up about 100 basis points year-over-year is probably a safe way to think about it. Now again, to remind everyone, there's a little bit of a tariff windfall in that because of the timing of pricing. But again, we've been paying those tariffs now for 45 to 90 days depending on the tariff. And so it is a cash drain to the company. And so rightfully so that, that price has been put in place.
Michael Edward Francis: Okay. And then I know it doesn't seem like demand has deteriorated much, if at all. And you talked about volumes implied in the back half of 9%. So I just wanted to see what you're seeing on R&R. And if that 9% number is just sort of a conservative approach to the market or if there's some deterioration happening right now that you're seeing?
Jon Michael Adinolfi: Yes. Right now, we feel that is the right guide. So that's why we're sticking with the minus 9%. We do feel like there will be some pressure in the back half of the year. But overall, we were actually pleased with what we did in Q2. As we came out and we called our sales number and actually hit it and exceeded it, so we feel good about where we're positioned. Until price is fully right into the marketplace, it's hard to really change that view. We'll give you an update when we come back and deliver our Q3 earnings. But we feel good about where we are right now. We feel like we're being prudent, as Rocky said earlier in his prepared remarks.
Operator: Our next question comes from the line of Matthew Bouley with Barclays.
Matthew Adrien Bouley: I wanted to ask around elasticity. Just very helpful color there around the volumes down 9% in the second half. I think in Q2 here, you had price up 2% and volume down 2%. But thinking about that 2026 up high singles to low doubles on price, I guess, I just wanted to double check on the assumption that you're not expecting to have sort of an offsetting volume impact in 2026, sort of, I guess, mirroring price. So just kind of, I guess, expand on that and sort of help us understand the conviction around kind of minimizing that elasticity.
Robert O. Kraft: Yes, Matt, I think we would start by telling you that when you think about repair and maintenance, if somebody needs to fix something, and we spend a lot of time talking about this on the last quarterly call, they're going to fix it. And so there's not a lot of elasticity in price for a lot of our products. Clearly, we're not going to say there's no elasticity. And so that's one of the reasons that we've guided for the market to be down in the back half. As we think about next year, again, I want to be clear that a flat market was not our guidance. Our guidance for what we said in our comments because it's not really guidance, just directionally around 2026 that was that in the situation where the market is flat. Now again, if you start to compound what our markets have done over the last several years, you have to go back many years to find levels where we would be going into 2026, if you assume that our markets are down 9% in the back half. And so I would say we have -- do we have a lot of conviction that the markets will be flat right now? It's August, whatever, third, fourth, fifth. So your guess is as good as ours. Do we expect that markets will be down, say, something like mid-single digits? I think we have a lot of conviction that, that will not be the case that these markets will be around flat next year. Are they up a couple? Are they down a couple? Hard telling and will depend upon a lot of factors that are really hard to predict when you're in the first week of August.
Matthew Adrien Bouley: Okay. Got it. No, that's super helpful. Secondly, on the margin side, I guess, a 2-parter. One is, if you could just clarify that short period where the tariffs on China were at 145%. I'm just curious if there's any kind of small temporary impact from that. So if you could just clarify that. But then Secondly, if I do the back of the envelope on 2026, it seems like you're suggesting maybe the EBITDA margin down about 100 basis points next year. So if you could just kind of speak to, is that simply the price and cost, the math around how that impacts the rate? Or is there anything else that's kind of impacting that EBITDA margin in 2026?
Robert O. Kraft: Let me try to do that in 2 pieces. So first, on your first question, I think we paid the $145 million. And honestly, I'm looking at my team right now for about 2 weeks, so it's not material to anything that we would be disclosing you're talking about. As you think about the rate, the ballpark -- you're in the ballpark around what we think about rate for next year. Again, during the third quarter of this year, there will be a bit of timing around a windfall around tariffs. That said, we will hang on to full price as we think about going into the fourth quarter and into next year, pending the fluidity that we answered in an earlier question. And so again, happy to lap that, I'll call it, slight period of windfall in tariffs is what's driving the lack of leverage between the top line and the EBITDA rate. But again, the one thing I would say, and JMA, you may want to comment here, but we're running this business, I think, better than we ever have. And I've been here for 7 or 8 years. And so as the numbers move around, we're highly confident that we can do the right things to create the right type of profitability in this business in any environment.
Jon Michael Adinolfi: Rocky is right. I mean we've set up the global supply chain, which we've just mentioned in our prepared remarks. And I think you guys have seen what we've done over the last several quarters and actually a couple of years where we built more resiliency in their supply chain. We've improved our cost position. And now we actually have multiple countries of origin to be able to diversify our supply base. So we feel like our input costs are in good shape. We're running our business from a freight perspective, pleased with where we are there. Obviously, everybody is dealing with some level of inflation, which we're managing, and we're going to continue to manage the business as we go forward. So we do feel like we're positioned well to deal with the back half and into 2026.
Operator: Our next question comes from the line of Brian McNamara with Canaccord.
Brian Christopher McNamara: So first on pricing. We haven't seen much pricing on the shelf based on our work. And I'm curious when you would expect that to hit the shelves on the retailer level, understanding that obviously each retailer will do things differently. And then secondly for Rocky maybe. I know in May, you called out for H2 pricing of plus 17%, offset by similar volume decline. And I think you mentioned in one of the answers to the question is that H2 guide calls for a 9% volume decline, but I don't think I heard what's built in for H2 pricing component.
Robert O. Kraft: Yes. Maybe let me go first, JMA. Maybe you cannot answer the question about retailers.
Jon Michael Adinolfi: Thank you for answering that question.
Robert O. Kraft: Yes, the guide would assume that in the second half, we have about 6.5% total price in the business.
Brian Christopher McNamara: Okay. And then JMA, do you want to...
Jon Michael Adinolfi: Yes, Brian, as you guys do quite a bit of work, we appreciate your focus on our company and the diligent work that you do at the shelf. I mean there's price has been going into the marketplace at different times. So we're watching it like you are. Really, to Rocky's point, it's not my place to be commenting on what our retailers will do in the back half of the year. So I think we'll have to stay posted for what we see.
Robert O. Kraft: Yes. Brian, just to clarify, when I said 6.5% price, that's full year price, not the second half.
Brian Christopher McNamara: Understood. Okay. And then secondly, look, the existing home sales appear to be hopefully bumping along the bottom here on 4 million units. Where does that number need to go for you to see a material impact on your business and market volumes overall?
Jon Michael Adinolfi: It's a great question. We feel like we believe getting back to a 5 million number is where we would like to see it in the future. We don't have it perfectly correlated to what that growth would be, if that's your follow-on question. But we feel like a $4.5 million, $5 million -- 5 million unit number is more in line with where we'd expect the business to be and see some of our categories that have been negatively impacted by the decline in existing home sales improved. So that's what we're hoping for as we go forward. But also in our guide, we know where the business is today, and we feel confident with it running at 4 million-ish from what we've talked about in 2025.
Operator: Our next question comes from the line of David Manthey with Baird.
David John Manthey: First question is on the change in tariff expectations. So you went to a $37.5 million per quarter run rate assumption and you were at $62.5 million previously. So in the second half, that would be like $50 million upside. I think you said you raised the guidance by $40 million. Is that just reflective of the tariffs kind of rolling in through the third quarter?
Robert O. Kraft: Yes. The only thing I would say about the math that you just did, Dave, is remember, it's not going to -- the tariff cost isn't going to hit us until late in the third quarter. It's going to begin hitting us. So I think your run rate numbers are right. But again, it's just a period of time where we have price and not tariff cost. It's not like a whole quarter or a big period of time. I'm not sure if that answers your question. But again, remember that tariff cost isn't going to start hitting us until well into the third quarter.
David John Manthey: I assume it was a timing issue. And then to the previous question on shelf prices, and you talked about prices to your customers. Is there a disconnect between those things? Are you able to go and raise price to the retailer and then they don't change shelf price for a time? Or are those more in lockstep? And then I guess if all goes well, based on the timing you just discussed, do you expect to be ahead of tariffs in the third quarter, meaning you over-earned, I think you kind of implied that. But then you'll hit sort of price/cost neutrality as the tariffs fully flow in and the price changes fully flow in. But by the time you get to the fourth quarter of '25, those will be matched up as well as you can based on what you know currently about tariff pricing?
Jon Michael Adinolfi: Yes. So Dave, the last question that you asked there, that is accurate. That's the way to look at the benefit in Q3 and then we're at parity, if you will, or alignment in Q4. So that's the right way to think about it. As far as pricing in retailers, I mean, each retailer is going to be different depending on their accounting and how they operate. So in fairness, I don't think it's my place to comment on how and when you'll see that -- the pricing at the shelf. But we partner with our customers. They are fair and balanced and not easy conversations for any of the companies or our sales teams that they're having the conversations with our customers. But we're aligned with them, and we're working with them to either deal with price or mitigate cost through country or org changes. So that's how we're running the business. So that's about as far as I can go.
Operator: Our next question comes from the line of Reuben Garner with Benchmark.
Reuben Garner: Congrats on the strong results and outlook. I guess, let's see. I had some technical difficulties, so sorry if I repeat any questions. But on -- so the pricing and volume outlook for the back half, is it right to assume that the pricing is probably more like in the low teens within the Hardware section, and that's where you're implying you're going to see most of the -- excuse me, Hardware and Protective section, and that's where you're going to see most of the declines in volume or what you're implying? And then can you tell us when the pricing actually went into place and what you've seen from a volume standpoint since then?
Robert O. Kraft: Yes. Let me take the first part, and I'll let JMA take the second part, Reuben. Yes, I mean, there is more pricing in HPS than there would be, in as an example, RDS or Canada. And that reason is because there are more tariff direct impact on those businesses. And then I'll start, JMA, but the pricing, some is in place, some is going in place, some went in place last week, some is going in place as we speak. But basically, every customer, every product is different. And so we deal with it on a case-by-case basis. But as we sit today, we're confident that we have our tariff exposure covered.
Reuben Garner: Got it. And then I know you've been working on mitigation efforts. Can you give any update or details there, still on track to get it down -- at least get China down to 20%? What kind of markets are you taking it to? And what are the tariff implications in those markets based on what you know today? I know it's fluid, but...
Jon Michael Adinolfi: Yes, it's fluid. I'll give you a couple of nuggets, Reuben. From our perspective, we feel like we're in very good shape with our movement of product out of China and our dual faucet strategy. So we do still have -- we have confidence that we have the ability to be approximately 20% out of China by year-end. We are moving into -- pick a name of the country, I mean, these are not in volume order, but places like Thailand, Vietnam, India or a few that would benefit from the moves that we're making right now. Our product and our operations teams are doing a great job, our sourcing team is doing a great job working with those suppliers. We've had opportunities that we've been developing over the last several years that now we're going to start moving volume to. We have other new opportunities that we'll be moving to. It is fluid. Like you said, as things settle down and we see where the best place for us to have the most competitive product for our customers and the best value and the right quality is what will end up making a determination of where will round out. So Reuben, we'll have a lot to update you and everyone else on in future quarters. But it is fluid, and I'm actually really proud of what the team is doing and the partnership with our customers to make sure that we can take care of our customers and ultimately our end users. So a lot of moving pieces.
Operator: Ladies and gentlemen, I'm showing no further questions in the queue. I would now like to turn the call back over to Mr. Adinolfi for closing remarks.
Jon Michael Adinolfi: Thank you, everyone, for joining us this morning. We look forward to updating you on our progress soon. Hope everybody has a great day. Take care. Operator, you may now disconnect.
Operator: Ladies and gentlemen, that concludes today's conference call. Thank you for your participation. You may now disconnect.